Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to AptarGroup's 2015 First Quarter Conference Call. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session. Introducing today's conference call is Mr. Matt DellaMaria, Vice President-Investor Relations. Please go ahead, sir.
Matt DellaMaria: Thank you, Andrew, and welcome everyone. Participating on the call today are Steve Hagge, President and Chief Executive Officer; and Bob Kuhn, Executive Vice President, Chief Financial Officer and Secretary. Steve will begin our call with an overview of our quarterly performance. Bob will then discuss our financial results in greater detail, after which we’ll open it up for questions. Information that will be discussed on today's call includes some forward-looking comments. Actual results or outcomes could differ from those projected or contained in the forward-looking statements. Please refer to AptarGroup's SEC filings to review factors that could cause actual results to differ materially from those projected or contained in the forward-looking statements. We will post a replay of this conference call on our website. AptarGroup undertakes no obligation to update the forward-looking information contained therein. I would now like to turn the conference over to Steve.
Steve Hagge: Thanks, Matt, and good morning everyone. Yesterday, we reported strong first quarter earnings per share growth on a constant currency basis. This is encouraging given the fact that top line core growth was difficult to achieve for two of our business segments. We are also up against very strong prior year first quarter. I will walk through some of the details on each for businesses and their respective markets and then I will turn it over Bob Kuhn for some specific financial information. With our continued focus on cost, we’ve taken steps to improve profitability of our operations on a worldwide basis, including reduced headcount and improve productivity. As a result, we’ve realized cost savings in the quarter particularly in our Beauty and Home segment. We also benefited from the usual delay in passing through lower resin costs. Each of our business segments reported operating profit margins that were equal to or better than the prior year and sequentially improved compared to the fourth quarter of last year. This improved profitability help drive the earnings growth in the quarter. Our strong results also reflected another excellent quarter from our Pharma segment, which recorded core sales growth in each end market. Volume increases along with the mix of business in the quarter drove operating margin improvement for this segment. Now, looking specifically at our Pharma market, in the prescription drug market, it continues to be a very dynamic time for our two largest therapeutic category, allergy and asthma/COPD. In the allergy treatment area, we are benefiting from the predicted harsh allergy season here in the U.S. and we are also benefiting from market customers growing their shares of the market as they are moved by some prescription drug to the over-the-counter in the U.S. that’s initially proved to be positive for our business. Successful examples include Nasacort and Flonase, which are now widely available. Also in the quarter, our innovative unit dose delivery system was chosen for a new prescription supplement to treat vitamin deficiency and our gel delivery system was chosen for the first and only gel nasal system for testosterone products approved by the FDA. We also see supplements in hormone replacement treatment as opportunities for future growth. In asthma/COPD, the category continues to grow and here we are also benefiting from our customers growing their market shares. Within this category, we are pleased to announce that our low-cost dry powder inhaler device for asthma is now on the market in China. In the consumer healthcare market, we benefited from strong demand for natural spray pumps or nasal decongestants, cough and cold treatments, and also spray devices for dermal applications such as the recent introduction of Perrigo’s new topical spray to [indiscernible]. In the injectables market, we continue to leverage our commercial strength to grow our elastomer component business globally. We are excited about the opportunities that we have with our recently announced expanded product offering. We now offer a range of coated stopper that will allow our customers a wider variety of compatible choices for sensitive medicine formulations, including biopharmaceutical. Turning to our Beauty and Home segment, while continued macro softness affected our performance in the quarter and core sales declined in each market, I do want to remind you that the first quarter of last year was exceptionally strong for our Beauty and Home segment. When we look at our two main markets, beauty and personal care, they continue to be weaker than a year ago, especially in the U.S. for our fragrance, hair care and sun care customers are experiencing sluggish demand. Latin America was also soft in the quarter due to the economics pressures we see in that region, especially in Brazil. In Europe, our beauty business was mostly flat compared to the prior year, while our personal care business declined primarily in the hair care and sun care categories. Asia remains a bright spot as demand for the facial skin care market continues to grow. Now although these key markets were soft in the quarter, we did see a good level of new product introduction using our dispensing system. In the personal care market, six new sunscreen products were introduced in North America, many of them using our bag-on valve technology. Unilever also selected our bag-on valves for their launch of a new line of Suave brands spray lotion. In the beauty market, our pumps were selected for a variety of new fragrances, including L'Oreal’s new Lancôme perfume as well as celebrity fragrance by David Beckham and Beyoncé. Beauty and Home profitability was negatively impacted by the weaker sales volume, although we did realize benefits from our cost savings actions, mainly reduced labor cost. We also benefited in the quarter from lower raw material cost. Following the early stages of improving the profitability of this segment, I am very pleased that we are beginning to see the impact of our cost reduction efforts. We were able to achieve operating margins that were equal to prior year’s level and improved sequentially from where it was in the fourth quarter. Next, looking at our Food and Beverage segment, demand in the food market was strong for our dispensing system used with condiment, coffee creamers, and instant formula. Our SimpliSqueeze valve technology for clean and control dispensing continues to see much success. In the quarter, Unilever introduced in the U.S. a inverted bottle with our custom dispensing closure and SimpliSqueeze technology for their flagship Hellmann's Mayonnaise. We are also very pleased to report that the Daisy Brand of sour cream is now in the market in a new inverted punch package utilizing our custom pouch fitment enclosure with SimpliSqueeze technology. In the beverage market, we still have some residual destocking of [indiscernible] began late last year. But this destocking is now resolved and orders began returning to normalized level towards the end of the quarter. We continue to see growth in the liquid concentrate area and Kraft recently introduced a new Maxwell House Iced Coffee Concentrate. We also continue to see new concentrate introductions in Europe using our dosing pumps and SimpliSqueeze systems. I am also pleased with the continued growth in emerging market, particularly in Latin America where we are growing nicely in the both food and beverage market. Finally, cost containment, production efficiencies, as well as lower raw material costs contributed to the improvement in profitability over the prior year for our food and beverage segment. Now, looking ahead, as mentioned in the press release, we currently expect another solid quarter of earnings growth on a comparable currency-adjusted basis. The currency exchange rate environment will remain a headwind on our translated results. We are also expecting demand in Latin America to be weak, given the economic situations existing there. However, our level of project dialogs across each market remains at a very good level. We are optimistic that our focus on the market and the value we are providing to our customer with the industry’s broadest portfolio will draw a profitable core sales growth over the prior year for each of our business segment. At this time, I will turn it over to Bob, who will review some of the details behind our recent financial results.
Bob Kuhn: Thank you, Steve, and good morning everyone. As Steve mentioned, changes in currency exchange rates had a significant negative impact on our translated results in the quarter compared to the prior year. Excluding the impact of currency exchange rates, our core sales decreased by 1%. We also reported record first quarter earnings per share of $0.70. Comparable currency adjusted earnings per share were $0.60 in the prior year. Our cash flow in the quarter improved over the prior year. Cash flow from operations this quarter totaled $39 million compared to $32 million a year ago. Capital expenditures this quarter were approximately $27 million compared to approximately $43 million in the prior year. Therefore, free cash flow was $12 million in the quarter, or an improvement of $23 million over the prior year. Looking at our balance sheet capitalization at the end of the quarter, on a gross basis, debt to capital was approximately 45%, while on a net basis it was approximately 30%. Turning to our quarterly market details by business segment, I’ll start with Beauty and Home. Core sales excluding the effect of changes in currency exchange rates decreased 4% from the prior year. Looking at our markets on a core basis compared to the prior year, sales for the beauty market decreased 2% sales to the personal care market decreased 6% and sales to the home care market decreased 5%. Our Pharma segments core sales increased 7% over the prior year. Looking at our markets on a core basis compared to the prior year, sales to the prescription market increased 9%, sales to the consumer healthcare market increased 4%, and sales to the injection market also increase 4%. Our food and beverage segments core sales decreased 4% from the prior year, primarily due to lower custom tooling sales. If tooling sales were excluded, sales would have increased 1% from the prior year. On a core basis, sales to the food market decreased 1%, while sales to the beverage market decreased 7%. Looking at core sales on a regional basis, Europe was up 1%, the U.S. was down 6%, Latin America was up 2%, and Asia was even with the prior year. Going forward, I just like to give you a few comments regarding 2015. We currently expect our capital expenditures to be near our targeted depreciation and amortization level for 2015, which is $150 million. We believe our effective tax rate for 2015 will be in the range of 33% to 34%. Given where currency exchange rates are today, especially with the euro, we expect our second quarter translated results will be negatively impacted compared to the prior year. Assuming a similar currency exchange rate environment to what we use to develop our guidance, comparable earnings per share for the prior year second quarter would be reduced from the reported $0.79 per share to approximately $0.66 per share. For the upcoming quarter, we expect earnings per share to be in the range of $0.73 to $0.78 per share. At this time, Steve and I would be glad to answer any of your questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of George Staphos from Bank of America, your line is open.
George Staphos: Hi everyone, good morning.
Steve Hagge: Hi George.
Bob Kuhn: Hi George
George Staphos: Thank you for the details and congratulations in the quarter, despite the headwinds poor performance. A few questions for you and then I will turn it over. First, I thought I heard you say that the outlook is for core growth in all of your segments in the upcoming quarter, could you affirm that and could you provide to the extent possible where you feel most certain of core growth or where do you think the outlook is best and where, you are still facing difficulties perhaps disputing home perhaps it is still the beverage market where destocking’s been lingering? And then could you, second question would be relative to your guidance and foreign exchange forecast where you are using specifically what U.S., Euro exchange you’re using, thanks.
Steve Hagge: Okay, I’ll take the first part of that George and let Bob then deal with the currency issue. In terms of the growth you were correct we are today expecting core growth across each of the three segments. In terms of relative strength, I think we’re most comfortable today with food and beverage and the Pharma segment's growth, while we are still looking at beauty and home given some of the macro issues, especially when you look at Latin America for us, that's probably the one that has let’s call it the biggest risk. Despite that the diversity of our product line we still expect to grow on a quarter-to-quarter basis.
Bob Kuhn: George consistent with the past we use the spot rate at the end of the quarter to calculate our guidance, which was 1.08 for the euro and that was the same rate me used to recast last year's $0.79 to $0.66.
George Staphos: Hey, Steve, if I can just ask one follow-on, if you look at food and beverage, certainly it’s been a market where you’ve seen increasing penetration of your dispensing systems. Is that an area that we should also still worry a bit about the consumer perhaps being tensed in either her wallet and that being a risk to your volume, do you feel there is enough momentum behind your new products and the products share gains as well that you should have a pretty solid quarter there? Thanks.
Steve Hagge: I think it’s a good question, George. And again, I think we feel pretty good there and I think one of the big issues for us and I touched on this even in my prepared comments, we continue to enter new markets. For example, we just entered into the sour cream market [indiscernible] on a flexible package, which I think is offers significant opportunities for future growth. We are also expanding in Latin America in terms of markets where we’ve not been really a major factor. So, well, I do think there is always consumer pressure, I think the convenience we have in the markets we are working with, we feel very comfortable about the future potential growth.
George Staphos: Okay, thanks. I will be back.
Operator: Thank you. Our next question comes from the line of Adam Josephson from KeyBanc. Your line is open.
Adam Josephson: Steve and Bob, good morning.
Steve Hagge: Good morning.
Bob Kuhn: Good morning, Adam.
Adam Josephson: Bob, just the obligatory resin question, how much of a benefit was the lagged resin pass through in the quarter? And are you expecting any additional benefit in the second quarter?
Bob Kuhn: So, in total, on a consolidated basis, it was slightly more than $3 million. That breaks out to about $2 million for food and beverage, about $1 million for beauty and home and a slight positive for pharma. No, we are not seeing that as we are starting to see resin cost increase primarily in Europe in the second quarter. So we are not anticipating that. But I would like to highlight that, that $3 million in this quarter, we were up – we actually had a positive resin variance last year in the first quarter about $1.5 million as well.
Adam Josephson: Okay. So, pretty significant benefit in terms of the year-over-year cost and that leads into the question about beauty and home. You talked about core sales in that segment being down 4, your margins were stable year-on-year, so you had a decent resin benefit there and then you talked about some other cost savings initiatives. Can you just parse out what enables you to keep margins flat year-on-year there, resin versus other cost savings initiative?
Bob Kuhn: I mean, I think it was – a lot of the initiatives that we’ve been talking about on the past quarters, we estimate that cost savings in the beauty and home segment on a global basis are a little bit north of $2 million in a quarter. So pretty consistent to what we were expecting last year when we talked about some of those initiatives.
Steve Hagge: And I think it’s also important, Adam, that while resin was positive, that $1 million positive we had, we also had some comparable resin a positive year ago. So what I think is particularly encouraging is the base business and how we are operating that business has continued to improve. And we expect that to continue on a quarter-to-quarter basis going into the second quarter and to the second half of the year.
Adam Josephson: Okay. Thank you. And just on your pharma margins, obviously, you came in higher than the high-end of your range and you’ve been at the high-end of that 23% to 28% EBIT margin range for several quarters now. Is there any reason for you to think that range still applies? Or was there something exceptional about this quarter such that you are above that high-end?
Steve Hagge: Well, I think again we’ve been very fortunate in terms of how our new products have been accepted and also how our customers’ products have been accepted. So, when you look at that having core growth in that of about 7% and also pretty strong growth when we were in the fourth. We would still say that we should be within that 23% to 28%. And I actually think that’s a real positive, Adam, because of the diversity of the products we have. So, we were very strong in this quarter on our Rx product line, so sometimes that maybe end up balancing back out. So, today, we wouldn’t be changing that guidance.
Adam Josephson: Great. Thanks a lot, Steve and Bob. Appreciate it.
Operator: Thank you. Our next question comes from the line of Chip Dillon from Vertical Research. Your line is open.
Chip Dillon: Yes, good morning, Steve and Bob.
Steve Hagge: Hi, Chip.
Bob Kuhn: Hi, Chip.
Chip Dillon: Speaking about the exchange rate and I know it will exchange every two seconds, but it is remarkable that there’s been about a 4% move since the $1.08 that you all put into the guide. Can you just remind us what your sensitivity is to each 1% or €0.01 change to the earnings?
Bob Kuhn: We haven't given that just because of all the interdependencies of all the currencies that are out there, obviously on a quarter it’s going to be much more muted than it would be on a full-year. Most certainly a stronger euro is going to be a slight positive on what guidance we gave, but that’s still going to be comparable when we recast the last year comparable. So, when we finish the quarter, we are going to give you a like-for-like comparison whether it’s at $1.08 or $1.13.
Chip Dillon: And I guess as a follow-up on that, if you if we look at last year, if we just sort of saw what the average euro exchange rate was that would be kind of, we could sort off and you are saying $0.13 is the delta to the $1.08, I guess it would be a fairly straight line, so I would imagine if it was somewhere around $1.30 last year.
Bob Kuhn: Yes, it was about $1.37. So if you actually look at first quarter and second quarter, how last year was and where we are expecting it’s pretty similar, I mean it’s not that far off.
Steve Hagge: The only issue Chip that I want to make sure is you do think about is while the euro is certainly a major currency, the Brazilian reais and the other currencies, particularly given some of their volatility also impact to that. So, it’s not just the euro that we have to think about, it also has to be the other currencies worldwide.
Chip Dillon: Got you, which is even better because that's up 10% so far in the last month. Now, could you talk a little bit about the food and beverage tooling, if I heard you right, you said that I think the revenues would have been up or down, the base revenues, a percent, but tooling really dragged it down and how do you see that flowing, is that just, was it an unusually low quarter or was it just that the comparison was difficult.
Bob Kuhn : No, in fact it was more the comparison. We've actually had some pretty significant tooling in the past few years, which hit in the first quarter. So it’s more timing of the tooling, but food and beverage it was down about $4.5 million, $5 million compared to last year, but I don't read too much into that other than it was just, it’s a timing of when tooling comes in.
Chip Dillon: Okay and then this is the last one, I think about the Pharma improvement, which is terrific, if I hear you a lot if it is really tied to and this is a very general statement to the cold and flu season, you know you talked about the cough and the course and the nasal applications does that mean is that a correct read that the growth is kind of more seasonal and maybe we will see a slightly more seasonal pattern there or am I misreading that?
Steve Hagge: No, I think again it depends on the RX guide, if you separate the allergy seasons due impact, the sales of that, the bigger the allergy seasons in Europe, North America, and Latin America et cetera. So, on the allergy it’s a little bit more seasonal. For asthma COPD it’s much more standardized. In addition you got to outbalance that portfolio that we have with the injectables, which tends not to have major seasonality and also our consumer healthcare, which gives you a bit of balance, particularly as you look at the ophthalmic expansion that we see in that market. So, it’s again, we don't have heavily influenced, allergy certainly is our biggest, let's call it seasonality product.
Chip Dillon: Okay got you. Alright, thank you.
Operator: Thank you. Our next question comes from the line of Chris Manuel of Wells Fargo. Your line is open.
Chris Manuel : Good morning gentlemen, congratulations on a strong quarter.
Steve Hagge: Thank you.
Bob Kuhn : Chris.
Chris Manuel : Couple of questions along the lines of new product development such, it sounds like Steve said that activity, if I heard you correctly remains at good levels here through the quarter, but I mean if I think new products for customers and stuff and if I think about the last few quarters, you’ve talked about it being kind of as best ever, maybe on kind of over reading things, but it sounds like things may have slowed a little bit, and so and maybe if you have any thoughts there and particular I know that both, you mentioned Kraft and I know that Heinz our both pretty good size customers of yours; and when we think about other transactions of folks coming together, it's been pretty disruptive and we've heard that some projects already being delayed. So maybe some thoughts on, if you have seen some slowing, if it’s isolated to specific areas or how you're looking at them?
Steve Hagge: First of all in new products side, I don't think we've seen any slowdown in terms of the activity. We’ve seen good activity going forward, but we’ve been impacted more. On the sales side it has been more macro issue. General economic slowdown in Latin America et cetera. So I don't think that's been tied to new project side. The issue with Kraft coming together with Heinz, certainly is a major, both are very good customers with us. I think there is – I think they’re both going to be looking for continued growth in their business and we have several active projects that are still going on with both of those and I don’t see those changing. I mean we do anticipate cost pressure there, but offsetting that is we are continuing to look for growth projects. So we’ve managed the high integration in 3G, bought that I thought very well, we are very confident we’ll be able to manage the Kraft high situation as it goes forward.
Chris Manuel: Okay. And did I hear you right, sounds like you have a drypowder application in China. I think that’s a technology bought may be a decade or so ago. Is this is the first commercial application that that’s been in use?
Steve Hagge: Yeah. This is the first commercial application and it actually does not relate to the one we bought several years ago. This is a much more low cost version that would be not frankly be able to use probably in the western markets and we think in the developing markets, it’s the way to be able to use that. So we were successful introducing that in China. We are today continuing to work on that much more sophisticated device and that we expect to be hopefully introduced in the market over the next several years, but that’s a much longer term process.
Chris Manuel: Okay. That’s helpful. And then last question is, restructuring benefits. I think you should have had a little bit come through in the beauty and home side. Can you maybe Bob give us a sense of what you had this quarter, what’s yet to come and if you are contemplating any other actions across your other businesses?
Bob Kuhn: So on restructuring side, Chris, we did have a slight positive over and above what we had last year but we talked about in the past, we had one last base that we were yet to move some products we started that. So there were some costs in the quarter related to that last phase that we are in the process of right now. So the net of the two was relatively immaterial in the quarter.
Steve Hagge: But we are as Bob pull it out, we are actually achieving our targeted goals on that restructuring which was nearly about $10 million on a run rate per year. We had a majority of that also introduced last year, so it was not as much of a year-on-year positive benefit.
Chris Manuel: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Mark Wilde from BMO Capital Markets. Your line is open.
Mark Wilde: Good morning, Steve and Bob.
Bob Kuhn: Hi, Mark.
Steve Hagge: Hi, Mark.
Mark Wilde: Couple of questions. One, just food and beverage, the ramp up in this business seems to be a little slower than some of the targets that you’ve put out there in the past. And I think you’ve got quite a bit of untapped potential capacity at that facility down in North Carolina. Can you just talk about that?
Steve Hagge: I think overall Mark, we are still actually very positive with this. Last year overall, our core growth in food and beverage was 9% for the year. We continue to get into new application fields or new markets. So in terms of our growth projection, I am still very optimistic about that going forward. We are continuing to ramp up at North Carolina facility, but we do have still capacity available for that. Now again that would be heavily focused with the North American market, it’s nice for us we are seeing good growth in Asia, good growth in Europe and now also good growth in Latin America where we actually didn’t have much of that in the past. So I am much more confident even a better balance on the food and beverage worldwide.
Mark Wilde: Okay. And then the second question is on, it’s just a little broader question and that really has to do with the corporate portfolio and you really wonder whether kind of manage tops and pharma packaging really belong together because it seems like you’ve got about 60% of your EBIT coming out of the pharma business. Valuations for pharma related packaging companies tend to be higher than overall packaging company. So just – longer term this seems like an issue that alerts out there. Can you address that?
Steve Hagge: Yes. I think it’s a good one because I think again I pretty strongly view that the diversity of our products in the markets we operate is a big advantage for Aptar. When you talk about those caps for those products in pharma, majority of those products today outside of customers came out of our beauty and home segment. So the ability to leverage products between segments for us is a real positive. We are seeing growth today in food and beverage coming out of beauty and home. So again the other side that’s very helpful and you look at our businesses, the manufacturing capabilities that are needed to make our products are very similar across all three segment with the exclusion that you need cleaner room for some of our pharma, but the assembly technology, the molding, we are able to benefit across all of those market. The other side is, we enter new markets, we are able to go in with one segment and very rapidly expand to the other two segments. So again rather than just look at the margins we need to take a look at the portfolio and we leverage a fair amount of our IS cost and other costs that we have internally across all three of the segments.
Mark Wilde: And then just, to follow that on a little bit further, just from a just valuation perspective, it seems like where you look at kind of public companies that have all or most of the exposure to Pharma, I mean they do trade at higher multiples.
Steve Hagge : I can’t get into the specifics because I’m sure you're closer to that then we are, but I think the other side is when we talk about our Pharma business it is a very niche business for us as our other businesses and again I really view that the diversity of the business is a long-term plus for us, in case there is a blip in a product, a recorder in terms of Pharma it helps the overall growth of the business. So, we think even when you look at the valuations, the combination of that still makes Aptar a more valuable commodity for our shareholders then just a single product or single market effect.
Mark Wilde: That's helpful perspective. Thanks Steve, I’ll turn it over.
Operator: Thank you. Our next question comes from the line of Albert Kabili from Macquarie. Your line is open.
Albert Kabili: Hi thanks, morning. Just wanted to get some additional color on the U.S., the core sales down 6%, which stuck out to me a little bit, which area sort of drove that and do you feel you’re maintaining your share, is there some share loss happening in the beauty and home side.
Bob Kuhn : I can give you some color on the markets than what drove the decrease in sales and then maybe Steve can talk more macro on the U.S. So if you look at it, our RX and our injectable business did very well in the U.S. in the first quarter, but we were down really in all the other markets that we served. The food was down, a lot of that was the tooling that's where they came from, but the beauty business was down, home business was down, beverage was down, personal care was down. So, it’s really everything other than the Pharma business in the U.S.
Steve Hagge : And Al talking about a little bit on the market share again, one of the other things that drove a little bit of that business is we've continued to try to localize some of our products. Some of those products that were produced in U.S. are now being produced in Latin America; that shows the decline in one and up in the other, but specifically to the market share, we feel that we are maintaining or accelerating our market share across really all of the markets that we’re in, particularly on a worldwide basis because we have to look in the beauty and home on the fragrance market as that is the worldwide market rather than just the regions, but we don't feel we’re losing any market share.
Albert Kabili: Okay, alright that helps and then just on the outlook of the sequential pickup that you see in beauty and home is that driven, I mean there is not a lot there, but I think there is a little seasonality in that business, is your outlook driven by some underlying improvement that you’re seeing either from the tone of your customers on volumes or some new business that you’re picking up, that's driving that sequential pickup?
Steve Hagge: It's really driven by several factors, one we are seeing a pickup in sales as I mentioned on a year-over-year basis. The other side though and this has been a major focus for the company we’re seeing margins improve internally, both in terms of scrap, productivity, labor. Those things we saw a good pickup coming into the first, we expect that to continue into the second. So, it’s a combination of sales growth and also being more productive in the products we are making.
Albert Kabili: Okay good and then just the final follow-on from me is, I think it was related to Chris' question on the cost savings, is there any way to help us size up maybe what some of those extra costs where that you incurred in the beauty and home business on the restructuring, thanks and good luck.
Bob Kuhn: On the beauty and home segment, no, I mean it was probably somewhere in the area of $0.5 million on additional cost, but we were probably $1 million more on the savings year-over-year, so net, net it was maybe $0.5 million positive.
Albert Kabili: Okay, thank you very much.
Operator: Thank you. Our next question comes from the line of Brian Rafn from Morgan Dempsey. Your line is open
Brian Rafn : Good morning Bob.
Steve Hagge: Good morning.
Bob Kuhn: Good morning, Brian.
Brian Rafn: Guys talk a little bit about – a new product – were really relative – as you talked about consistency – or visibility – food and beverage and pharma. Look at those – being driven by strong new product launches or – launches across all of your – are you seeing it across all your segments, I guess I’m asking how broadly – [indiscernible] launches are.
Steve Hagge: Brian, I apologize, I’m going to try to answer what I thought was your question because you were breaking up at least somewhat I was getting. I think you were asking how these new product launches is just more statement based or is it across all three segments and for us it’s across all three segments. We are opening up probably more new application fields in our food and beverage side that opens up more new areas, but in terms of products that across all three segments.
Brian Rafn: Okay. Then – can you hear me now [indiscernible].
Steve Hagge: Better yeah.
Brian Rafn: Okay. More – visibility or dynamics from the stand point – perfume market. The premium side versus more of the lower and economy side. What are you seeing in those two different areas?
Steve Hagge: I think that we’ve seen a little bit stronger on the Prestige side. Again, just to come back, I think the question was you break up a little bit Brian in terms of your call, but you are asking I think are we seeing difference in the Prestige and the mass market. We’ve seen the Prestige market be a little bit stronger for us. Some of the mass market has been influenced by product being sold into the Russian market even if it’s coming from Europe and some of the challenges that Avon had is as you’ve in the press. But overall the Prestige market has continued to do reasonably well. And the other one for us is doing well is in skin care particularly the Prestige skin care market.
Brian Rafn: That’s good for me.
Operator: Thank you. Our next question comes from the line of Debbie Jones from Deutsche Bank.
Debbie Jones: Hi, good morning.
Steve Hagge: Hi, Debbie.
Debbie Jones: You have a pretty significant exposure to certain drug delivery markets [indiscernible] tell me, and I’m just wondering on the M&A part of your strategy with this segment, could you comment about which markets might be the most attractive to you, do you want to expand within your existing portfolio, or do you see other drug delivery methods that might be interesting to you?
Steve Hagge: We are really evaluating both of those, I mean if we can get add-on technologies kind of around our core products today, that’s something we are looking at. But like we did with [indiscernible] we were also looking for things that are corollary to our confidence, and that’s an area that we are pushing very hard. So today we are actively looking at potential issues that are out there. I’d say the M&A market as a whole is – there are opportunities, pricing is becoming more of a challenge in the M&A market today, but going back to your core question, it not just looking at pumps, valves, closures and elastomers, we are looking at also innovative other dispensing systems that might be able to be a good add for the portfolio.
Debbie Jones: And you mentioned, the pricing – evaluation for these potential acquisitions, but do you see much of an opportunity set outside kind of your core business.
Steve Hagge: But again we are going to continue to look at it. I don’t want to comment specifically to that. But the answer to that in general would be yes. We looked at several other opportunities that would be outside of our current product line that we are actively looking at.
Debbie Jones: Okay. And I guess my second question is your performance in Asia, how was that when compared to your expectations and what you think you could do this year?
Steve Hagge: We have to breakage it down a little bit for us. I think in terms of – if look at China is doing as well or better than what we had expected across the markets. And our expectations are for that – for good growth going forward. When you look at India, it’s the other big market for us. Again, it’s a little bit more, it’s a little choppier, we are seeing reasonable sales growth, but we need to make sure as we continue to get the profitable growth out of that sales side. So overall I would say China is doing well. And then India kind of – Thailand, Indonesia is a bit – is good for the sales growth, but we need profitable growth from that.
Debbie Jones: Okay. Thanks. I will turn it over.
Operator: Thank you. Our next question comes from the line of Ghansham Panjabi from Robert W Baird. Your line is open.
Mehul Dalia: Hi. Good morning. It’s actually Mehul Dalia sitting in for Ghansham. How are you doing?
Steve Hagge: Great. How is it going?
Bob Kuhn: How are you?
Mehul Dalia: Great. Can you talk about your organic growth in the quarter by business relative to your expectations, did the pharma growth surprise you and if so what was that?
Bob Kuhn: I would say what surprised us more than anything was the strength in the latter half of the quarter across all three business segments. It sequentially got better as it went along where we surprised by the pharma growth maybe slightly towards the end. I think we’d probably be a little surprised how we finish compared to how we started and all of them, but they were in line more or less with where we thought we would be.
Mehul Dalia: Okay, great. Just as a follow-on to that, do you feel any different about your underlying demand expectations for 2015 across your businesses relative to your previous expectations maybe last quarter?
Steve Hagge: No, I think if anything we’d probably started to solidify. The challenges we saw at the last quarter frankly are still the challenge that exist today. So I don’t think there has been a material change to that and if there has been anything on the margins, it’s probably more positive than it was even a quarter ago.
Mehul Dalia: Okay, great. Thanks. And just one last one, can you expand on the changes being brought about in the U.S. beauty and home business both changes there and is there any different in strategy?
Steve Hagge: No, I don’t think its difference in the strategy, it’s more in the execution. We are much more focused on the execution of the plan, the team that we put in place today is doing I think a very good job of executing to that and we are now even more so beginning to see the results. So we’ve started to see that in the first quarter and as I said in my prepared remarks, I am very positive we’re going to see that trend continuing to the second quarter and to the second half of the year.
Mehul Dalia: Great. Thank you.
Operator: Thank you. Our next question comes from the line of George Staphos from Bank of America. Your line is open.
George Staphos: Thanks for taking my follow-up guys. Couple of last ones, you were talking early when stated up the question to private market valuation and just remembering back from company commentary back in the fall on the Analyst Day, evaluation levels back then were relatively high. Is there a way to suffice how much multiples have moved over the last two quarters or so? Has they got another 10%, 20% or any kind of qualitative commentary would be helpful there. And then on private companies and their level of competitive activity recognized and I think you don’t lost market share. Again, is there any measureable change in their level of competitive activity or what it might mean or not mean for pricing and then I had a follow-on unrelated.
Steve Hagge: Let me try on the multiples. I would think we talked back in September you are probably seen multiples go up about a half a turn on EBITDA basis or more it’s out there at least looking at even the most recent transactions that are getting reported that we get a chance. So I think there is probably and then it has to do with the relative debt positions and the interest that’s out there and the availability of money. If I look at our private – your question on these guys that have gone private, it is a change in the competition. In some cases, overall the answer is probably we haven’t seen a big change because I think there is now more of a focus on getting cash for the business as opposed to just driving sales growth without the profitable side. So the basics of the market haven’t changed and the competition we still feel the innovation is our key differencing factor and that hasn’t changed with these other companies either going private or being spun out of some of the public businesses.
George Staphos: Okay. And where some of the companies that are held by larger publics but they themselves are obviously private. You haven’t seen any kind of change in their competitive activity. I know it’s a question we ask frequently but just want to a mark-to-market here.
Steve Hagge: No. Again, I wouldn’t say that there is a material change there.
George Staphos: Okay. A follow-on just a quickie, we’ve seen from some of the companies unrelated specifically the expensing system, but nevertheless commenting on lower promotional activity and we are seeing it basically in display activity declining. To the extent that you have any visibility on this and to the extent it’s relevant for some of your sun care and other seasonal products, are you seeing that as well and is it a headwind or is it not a real big deal and you’re expecting core growth to be positive into 2Q. Thanks and good luck in the quarter.
Steve Hagge: Again, I think it’s a good question George. Again, we’d have to break that down by market segment. I think in beauty and home, we are seeing a bit less on the promotional activity so there has been much more conservation there. Certainly in the short term, that probably has a negative impact to some of the demand and I think we saw that in the fourth and the first. Long term it’s all going to be driven by consumption anyhow. So I think that level is out, which is somewhat of our expectation as we go forward with the year. When I look at pharma, we’ve actually seen an increase in quite a bit of the promotion with this movement on the over the counter. So the Flonase advertisement is significant and it’s interesting in that market they are building pills. So it’s not just targeting just others free devices, they are targeting pills, which I think is increasing their share and also helps us. Food and beverage, we see because of some of the new packaging for them to come out to see again as its new packaging probably more promotion, existing packaging may be somewhat affected by this, you know the lack of some of the promotions. So, it is very dependent on market-to-market.
George Staphos: Thank you.
Operator: Thank you. [Operator Instructions] And it looks like that's all the questions that we have for today. So, I would like to turn the call back over to Mr. Hagge for the closing remarks.
Steve Hagge : Thank you very much Andrew. This concludes our call today, and I’d like to thank everyone for joining us. Have a good day.
Operator: Ladies and gentleman thank you again for your participation in today’s conference. This now concludes the program, and you may all disconnect your telephone line. Everyone have a great day.